Operator: Good day everyone and welcome to HealthEquity's Third Quarter Fiscal 2015 Conference Call. Please note this event is being recorded. And I would now like to turn the conference over to Frode Jensen, General Counsel. Mr. Jensen, the floor is yours.
Frode Jensen: Thank you, Greg [ph]. Good afternoon and welcome. My name is Frode Jensen and I'm the General Counsel of HealthEquity. Please be advised that today's discussion includes forward-looking statements, including predictions, expectations, estimates or other information that might be considered forward-looking. Throughout today's discussion we will present some important factors relating to our business, which could affect these forward-looking statements. These forward-looking statements are also subject to risks and uncertainties that may cause actual results to differ materially from the statements made today. As a result, we would caution you against placing undue reliance on these forward-looking statements and we encourage you to review the risk factors set forth in our final prospectus which we filed with the SEC on August 1st this year and our most recent quarterly report on Form 10-Q and any subsequent periodic or current reports for a discussion of these factors and other risks that may affect our future results or the market price of our stock. Finally, we are not obligating ourselves to revise our results or publicly release any updates to these forward-looking statements in light of new information or future events. With that, I'll turn the call over to Jon Kessler. Jon?
Jon Kessler: Thank you, Frode. Happy holidays everyone and thank you for joining us on today's call to discuss the results of our fiscal third quarter. The third quarter was another strong one for HealthEquity and its network partners. We believe the results show that the HSA market continues to grow, we continue to execute on our own growth strategy, and are gaining share. I'd like to highlight progress in the four key metrics which, as we have discussed in the past, drive our business. First, revenue of $21.9 million increased 43% year over year. Second, adjusted EBITDA of $6.1 million grew 33% year over year. Third, the number of HSAs for which we act as custodian, which we refer to as our HSA members, reached 1.1 million at the end of the third quarter, up 46% year over year. And fourth, assets under management or AUM at the end of the third quarter were $1.8 billion, a 41% increase year over year. HealthEquity team members achieved these gains by continuing to execute on the growth strategy we have described to you in the past. During the third quarter, first, HealthEquity added 47,000 net new HSAs. We attribute this to the success of our strategy of and platform to achieve deep integration with our health plan and employer network partners. Net HSA growth in the quarter was 49% above the growth achieved during the same period a year ago. Second, HealthEquity's platform and ecosystem continue to show their value. Participants in our ecosystem, what we call 'ecosystem partners,' include both innovative newcomers and established market leaders. One example is Change Healthcare, a unit of Emdeon, which uses sophisticated data analytics to uncover personalized savings opportunities for consumers. Employers who contract with Change, Tyco and Eastman Chemical are examples, are seeing how cooperation between Change and HealthEquity enables us to deliver these savings opportunities to employees at critical healthcare save and spend moments. Similarly, HealthEquity is working with Castlight Health and our mutual partner Providence Health and Services in the Northwest to facilitate consumers' use of Castlight solution to better control health spending and to improve health. And finally, HSA members continue to build health savings. Invested AUM, assets that members have directed to longer-term investments such as mutual funds, topped the $0.25 billion mark for the first time. This came from just 2.4% of HealthEquity's HSA members, and illustrates what we believe is the potential for greater future profitability embedded in HealthEquity's fast-growing account base. These gains are driving revenue and profit growth today. I'll now turn the call over to Steve Neeleman, our Founder and Vice Chairman, to tell you about one of the initiatives that we believe will sustain that growth into the future, working with our health plan network partners to deliver HSAs to consumers in the emerging individual or direct purchase market, including health exchanges. Steve?
Stephen Neeleman: Thanks, Jon. The implementation of Health Reform with subsidized exchanges and guaranteed issue policies is driving the purchase of individual commercial insurance. This market is still relatively small compared to employer-sponsored insurance, however, the growth is accelerating. These consumers are choosing lower cost, high deductible plans, including HSA-qualified plans in disproportionate numbers, no different from the way many of us buy down our auto insurance premium with a higher deductible. The challenge is to get these consumers to open and fund an HSA. To illustrate this challenge, essentially all of our more than 25,000 employer clients have programs to educate their employees about the financial benefits of HSAs, and most make regular contributions to the accounts and pay account fees. The individual market is very different. On healthcare.gov, consumers cannot search specifically for HSA-qualified plans. A search of the site's education materials for health savings account returns just a few lines defining the term in the site's glossary. And since in this setting there is no employer, there are no employer contributions. Our strategy in this emerging area is to partner with our health plans to integrate HSA education and funding right into the onboard experience. Already over half of our health plan network partners who sell individual insurance are using our capabilities, and a quarter have deployed them to their consumers purchasing on exchanges. We believe this rapid uptake is evidence that health plans are beginning to understand how a truly integrated experience provided by HealthEquity can drive consumer loyalty, just as that it's proven to be a benefit in the employer-based segment. While there is a long way to go to reach meaningful uptake at the consumer level, connecting with consumers will remain a high priority for health plans for many years to come. We believe that our ability to help in this area strengthens our network partnerships overall and will drive long-term growth prospects across all segments. I would now like to turn the call over to Darcy Mott, our Executive Vice President and CFO, who will review the details of our third quarter results. Darcy?
Darcy Mott: Thanks, Steve. Today I will discuss our quarterly results on both a GAAP and non-GAAP basis. Our non-GAAP operating metrics include adjusted EBITDA and pro forma non-GAAP EPS. We defined adjusted EBITDA as adjusted earnings before interest, taxes, depreciation and amortization and other certain non-cash statement of operations items. We define pro forma non-GAAP EPS as net income per diluted share calculated on a pro forma basis to give effect to the conversion of all our outstanding preferred stock into common stock, which occurred on August 4th, 2014 in connection with our IPO, as if such conversion occurred at the beginning of each period presented. As Jon mentioned, total revenue for the third quarter was $21.9 million, an increase of 43% compared to the same period last year. As many of you know, HealthEquity reports revenue in three categories: account fees, custodial fees and card fees. Revenue grew substantially across all three categories. Account fee revenue for the third quarter represented 51% of total revenue at $11.1 million, an increase of 48% compared to the same period last year. Custodial fee revenue for the third quarter represented 28% of total revenue at $6.2 million and increased 29% compared to the same period last year, even as the average cash AUM increased by 37% over the same period. The difference is due to an average yield in the third quarter of 1.52% compared to 1.64% in the same period last year. Investment AUM as a percentage of total AUM continues to increase and was 14% at the end of the third quarter, compared to 12% a year ago. Card fee revenue represented 20% of total revenue in the quarter at $4.3 million and increased 51% compared to the same period last year. Gross profit was $12.2 million in the third quarter compared to $8.4 million last year, an increase of 46%. Gross margin of 56% in the third quarter compared to 55% a year ago increased slightly. Income from operations of $4.3 million during the third quarter increased 26% year over year and generated an operating margin of 20%, compared to an operating margin of 22% a year ago. Our operating margins were negatively impacted year over year by public company expenses, which primarily appear in our G&A expenses. Looking forward, we expect that G&A expenses will range from 8% to 9% of revenue over the near term. We generated net income and comprehensive income of $3 million for the quarter, compared to $2 million for the same period last year. Our non-GAAP adjusted EBITDA for the third quarter was $6.1 million, compared to $4.6 million in the same period last year. Turning to the balance sheet. As of October 31st, 2014, we had $107.9 million in cash or equivalents, and no debt, which compares to $13.9 million in cash and equivalents and no debt as of January 31st, 2014. As a reminder, net proceeds from our IPO were $132.6 million, less the $50 million special dividend to pre-IPO shareholders. Now turning to guidance. We are raising our outlook for the full fiscal year 2015 and we now expect revenue between $85 million and $87 million, up from $83 million to $85 million; adjusted EBITDA to between $23 million and $25 million, compared to $22 million and $24 million; and pro forma non-GAAP EPS to be between $0.19 and $0.21 per share, up from $0.16 and $0.18 per share. Our annual pro forma non-GAAP EPS estimates are based on estimated weighted average shares of $50.6 million on the pro forma basis I previously mentioned. Now let me turn the call back over to Jon for some closing remarks. Jon?
Jon Kessler: Thank you, Darcy. The third quarter began our peak implementation season, and so in closing I'd like to take a moment to acknowledge the hard work of our client onboarding specialists and our partner implementation teams. These include not only HealthEquity team members but also hardworking, dedicated professionals from our clients, our network and our ecosystem partners. We are seeing the fruits of their labor in Q4, and that's something we look forward to discussing with you all at length once the quarter has concluded. With that, let's open the call to questions.
Operator: [Operator Instructions] And our first today comes from Lisa Gill with JPMorgan.
Lisa Gill - JPMorgan: Thanks very much. Good afternoon. I was wondering, Jon, if you could talk about the network partner adds. Could you give us some indication if these are health plans or on the employer side?
Jon Kessler: Sure. Thank you, Lisa, and happy holidays. In short, we are seeing network adds across both our large employer segment as well as our health plan segment, and obviously something we'll talk about in a little more detail in the fourth quarter, but we continue the strategy of building relationships across both those channels, and that building reflects the value that we bring uniquely to each channel. For health plans, we're able to offer a product that's highly integrated with their offerings and ultimately results in a better experience for consumers and a better retention for the health plans. And I think for the employers, it's about providing a really outstanding experience for their individual members, but also doing so in such a way for the larger groups that allows them to get the best of multiple health plans or what-have-you over time. So, both those value propositions are continuing to prove out as we run through fiscal 2015, and certainly we'll have a lot more to say about the results of that at the conclusion of the fourth quarter.
Lisa Gill - JPMorgan: And so, Jon, when you talk about health plans, employer, would you say that it was fairly equal between the two or were you able to sell more into one versus the other? Are you going to make me wait for the fourth quarter for incremental detail?
Jon Kessler: I'm going to make you wait till the fourth quarter --
Lisa Gill - JPMorgan: Okay. My second question is just when I look at the per member per month account fee, the revenue looks like about 5%. Is pricing improving or is there something else I'm missing when I look at that?
Jon Kessler: Darcy?
Darcy Mott: I think the pricing has been fairly steady. We noticed that we have a little bit more revenue that came from our card fees. We've been making concerted efforts within the company to try to help drive spend onto our card platform when people do spend out of their HSAs. And then, you know, that's probably part of it. But overall, it's been pretty steady. We're not seeing any increase in the account fees that we're negotiating with any of our new partners.
Lisa Gill - JPMorgan: Okay, great. Happy holidays to all of you as well.
Darcy Mott: Thank you.
Operator: Our next question comes from Peter Costa with Wells Fargo.
Peter Costa - Wells Fargo: Nice quarter guys. Can you talk a little bit about your hiring process this year relative to last year in terms of bringing in new people to handle the growth for next year? Are you ahead of where you were last year or behind where you were last year in terms of hiring new associates?
Jon Kessler: Happy to, Pete, it's a great question. Happy holidays and thank you. As we said before, our culture, we use the sort of catchword purple to describe it. Purple means really to us delivering remarkable outcomes. And that includes remarkable outcomes to our team members. And that really starts with the hiring process. So your question is I think a really important one. And in short, we are, as of today, fully hired to support our January peak. Certainly we feel very good about where we are thus far in the season. I think we were at pace last year and we are at pace this year. Obviously the numbers are larger. We're very pleased that we continue to maintain important metrics for us in terms of hiring, such as, when we can, hiring from within and hiring referrals from within. So we feel like we're in great shape, and we're getting some time to train people and do the training we need to do so that particularly in January, which is our highest call volume month, we're set to deliver and again exceed the expectations of our clients and partners.
Peter Costa - Wells Fargo: Great. And can you tell me a little bit about the share count? I'm a little confused. Your 50.6 is the year number, but you're at 50.05 through nine months, and actually it sort of implies I think share count drops in the fourth quarter, but that doesn't seem likely. So can you explain what I'm missing there?
Darcy Mott: Yeah, I think I can explain it. The numbers leading up, the year-to-date numbers in the year-to-date for this quarter, they include some dilutive elements with respect to the D3 stock. And so when you take the average of those for the first three quarters, it ends up with a kind of a different number than you would normally calculate. For the full year, the 50.6, we've taken all that into account, and now our fourth quarter will be completely clean without any of the preferred stocks being in it. And so that's why we wanted to give you guidance for the year, for the full year, to the 50.6, is what we expect to see.
Peter Costa - Wells Fargo: So, fourth quarter share count, what do you expect exactly from the fourth quarter share count?
Darcy Mott: I think it's in the 57, 58 range, Pete.
Peter Costa - Wells Fargo: Okay.
Darcy Mott: Fifty-seven. The fourth quarter number will be more in line of what will be on a go-forward basis in the 57 to 58 range.
Peter Costa - Wells Fargo: Thank you.
Darcy Mott: Does that make sense?
Peter Costa - Wells Fargo: Yes. Thanks. And then where are you booking your interest income from the $107.9 million that you have sitting in the bank, where is that -- where is the interest income for that?
Darcy Mott: That is just down in other income expense.
Peter Costa - Wells Fargo: So did something go up in other income expenses, was it the other expenses this quarter that was a little higher than expected?
Darcy Mott: Yeah, we just had some miscellaneous tax issues that we just recorded in that area.
Peter Costa - Wells Fargo: And is that a one-time thing or is that something that would continue?
Darcy Mott: It was kind of a one-time catch-up.
Peter Costa - Wells Fargo: Okay. And then the average account, HSA account members, it looked like it was just a little bit lower historically. What happened there?
Darcy Mott: The average number of HSAs?
Peter Costa - Wells Fargo: Yeah.
Darcy Mott: So that calculation is just done based on our monthly number of accounts that we have throughout the year.
Peter Costa - Wells Fargo: So there was a change to that historically?
Darcy Mott: No, I don't believe so.
Peter Costa - Wells Fargo: In the third quarter of last year? No? Okay. Let me get back to you on that. All right --
Darcy Mott: Yeah. One of the things -- yeah, let me just clarify. One of the things that we'll try to take a look at and we'll try to be more clear on this, is sometimes when we present a quarter or a year-to-date number, that calculation may be done on a quarter -- the standalone quarter or for the full year to date. And so we'll try to get more clarity on that calculation.
Peter Costa - Wells Fargo: Okay. Appreciate it. Thank you.
Operator: And next, from SunTrust, we have Sandy Draper.
Sandy Draper - SunTrust: Thanks very much guys, and congratulations on a good quarter. A couple of questions. I guess first would be in terms of the market dynamics sort of related to what Steve was talking about, it's the consumers getting in. Over time, do you see the consumers making more of the individual decision changing the competitive landscape? As I broadly think about it, you've got payor competitors, you've got other similar standalone competitors, and then you've got companies like the bank competitors all going after HSAs. Do you see the landscape changing as the consumer maybe becomes a greater role and you see more of the business bought on the exchanges?
Jon Kessler: I think, Sandy -- first of all, it's a great question. Happy holidays by the way. In the end, at least, as far as we can see, even within the individual market. These decisions to open an HSA are being made in the context of a benefits or health insurance enrollment decision. And that decision, we don't see any real change in that trend. And in fact, it's precisely because of that observation that what Steve described is really an effort that's been remarkably successful to date in terms of its -- the receptiveness of it, to make sure that HSA education, et cetera, enrollment, et cetera, is really -- and then ultimately funding which is what matters, is really part of that health plan enrollment. So I guess our basic view and strategy reflects -- our basic view is, and our strategy reflects the view, that we see people who are new to the HSA environment continuing to open their HSAs within the context of a decision to buy an HSA-qualified health plan. And so the effect of that on the competitive landscape from our perspective, is that it should advantage those, and certainly we count ourselves among these, with very strong health plan relationships and with the level of trust and integration with our health plans that allows us to really take advantage of that relationship and really bring the two decisions as close together as we can. And I think those disadvantaged would presumably be, for example, those whose work is completely focused on let's say an employer where their relationship with health plans or the like is tangential at best, and so -- and their primary decision points are employer-based enrollment, because there is no employer-based enrollment in the individual markets. So I think that's our basic observation, is that the linkage between the HSA and the underlying HSA-qualified plan decision remains very strong in the individual market, and that's where we're going to continue to build it. Steve, any additional comments on that?
Stephen Neeleman: Yeah. I mean even if you go back to the very early days of HSAs, Sandy, there were a lot of entities that said, why don't we go our and just direct-market to consumers? But they forgot that they were really putting the carpet for the horse. People need insurance in order to have an HSA, by definition. And so as we worked with our health plan partners, they actually view our integrated solution as a way for them to compete in this evolving marketplace. And so when they go and put product upon exchanges or on their own websites or in different types of broker environments, they can say, well, you know, we've got this fully integrated solution that starts to incorporate all of these elements of the ecosystem, whether it's wellness or tele-medicine or transparency, and it's all plugged in. And so they view that as a competitive opportunity against other folks that are out in the marketplace selling individual insurance. And so we keep a very close eye on this marketplace because, while it is small, like I said in my remarks, it will evolve quickly. And we are seeing some pretty good growth, albeit growth on small numbers right now. So we're excited about.
Sandy Draper - SunTrust: Great, that's really helpful commentary. Maybe a second question, I know, Jon, you don't want to talk a lot about the, you know, how the selling cycle has gone, you're going to -- you'll make us wait till January. But I wanted to see if you could give us any commentary on what the Webster acquisition of the business out of JPMorgan, is that something, type of asset transfer, does that change their ability, their people view them differently in terms of their willingness, either pro or con, to be more likely to go with, and is that something that has an impact on this year's selling cycle or is that really to be determined for calendar year 2015?
Jon Kessler: I think the answer is a little bit of both. What I would generally say, and certainly this has been an advantage for us in the acquisition transactions we'd done, is the accounts themselves are extraordinarily sticky, and that's a function of the fact that they're individually owned, and so even if an employer or a health plan, what-have-you, you know, would have the desire to move them from Custodian A to Custodian B, they don't move all by themselves except in an acquisition transaction. And so I don't want to overstate the potential opportunity in front of us as a result of any market disruption from the Chase sale to HSA Bank, particularly given some of the client concentration that may be part of that transaction. But there is some opportunity we've seen this year. Certainly it -- we've seen a number of cases where the fact that this was fairly well-telegraphed by Chase, to their credit, gave people an opportunity to at least think about it for this year and others will certainly think about it next year. But we're a full year plus, as I understand it, and as certainly has been reported publicly, we're a full year plus away from any actual transition of operations there. So I think it's likely still a bit early.
Sandy Draper - SunTrust: Okay. Great. That's definitely helpful color, Jon. I guess final question maybe for Darcy, I know the step-up in technology development, it was a plan, but could you just remind me what the key initiatives, as you're growing the R&D line, what the key initiatives are that you guys are investing in? Thanks.
Darcy Mott: Sure. So we talked throughout the roadshow about some additional investment we are making into just our entire infrastructure and our architecture system, and it was an extra $3 million I think in this current year. And that will continue for, to some extent, for the next couple of years, as we just want to make sure that we are even more scalable. I think our capacity right now is in the 35% to 40% range. But as we continue to grow rapidly, we felt we needed to get ahead of that curve a little bit. And so what happens is, as we capitalized some of those internal software development costs, those then get amortized over a three-year period. And so as we invest those, then that's going to kick into the technology development line.
Sandy Draper - SunTrust: Okay, great. Thanks very much guys.
Operator: [Operator Instructions] Next we'll take Mark Marcon from Robert W. Baird.
Mark Marcon - Robert W. Baird: Good afternoon everybody and congratulations on a terrific quarter. I wanted to start just with the PCA PM fees. Strong growth there. How should we think about that going forward?
Darcy Mott: So I think that on a, you know, a quarterly basis, I think Lisa kind of asked a similar question, we wouldn't take anything to -- we think they'll be pretty steady compared to what we've had in the past and throughout the remainder of this year. So I don't think there's anything there to grow [ph] the numbers up on -- with respect to PCA PM. We think they're -- they should steady out and be pretty consistent with what we said in our roadshow and what we said earlier.
Jon Kessler: Yeah. This is --
Mark Marcon - Robert W. Baird: So, not steady at this level?
Jon Kessler: Go ahead.
Darcy Mott: No. I think that we're pleased with the PCA PM. The one factor that we're a little cautious about is we bring on a lot of new accounts in January. And as we've said, as the new employer or a health plan breaks into a new level of tiered pricing, then they may get a better price, and so some of the new accounts that come on in January may influence that downward, which kind of offsets the growth that we're getting from some of our ancillary fees from such as our RA or some of the other areas. And so we're pleased that we've held pretty good and upward slightly, but the fourth quarter brings on a lot of new accounts that their fee structure may be a little bit different.
Mark Marcon - Robert W. Baird: Understood. And can you, I know it's early and I know it's been asked, but just how should we think about the activity around bringing on the client signings for this coming year.
Jon Kessler: I mean -- this is Jon. I think a good way to think about it is at least -- first of all, let me say generically that, if we were not confident that we -- the kinds of growth we've discussed over the medium term were coming to fruition, certainly you would hear about it from us. And on the positive side, in raising our revenue guidance for the current year, certainly a piece of that is reflective of what we expect for Q4, and at least for January, that in part reflects the results of this year's sales cycle. So I guess what we'd like to say at this point is that we feel good about it. We feel good that we're delivering, from a sales perspective, the results that we've outlined as what the business can produce in the past, and that certainly, you know, we'll have more to say about the precise details of what's actually occurred once we have the ability to look at all that each account has produced and so forth. I mean this is the time of the year when we're seeing these numbers every day. So, rather than guess our preferences to have them all in place and be able to give you a complete picture that you can evaluate with a view towards the long term of the business.
Mark Marcon - Robert W. Baird: I appreciate that. Can you just, without asking for precision, but just in terms of the growth that you would expect in terms of the number of new employer partners, can you just roughly discuss what you're seeing there?
Jon Kessler: Yeah. I don't think that in the past we've provided any particular guidance on the growth of number of partners and I'm not really prepared to here. Again, other than to more or less repeat what I said and answered to Lisa's question, which is that that growth has been healthy. We've added some really nice names to our direct-to-employer business, and certainly ones that we expect to be talking with you about at the end of Q4.
Mark Marcon - Robert W. Baird: Okay. And how should we think about the average yield on the cash AUM?
Jon Kessler: Darcy?
Darcy Mott: So, Mark, we've been pretty steady throughout this year in kind of the 150 range. And we've said previously that we expect that to continue through the remainder of this fiscal year. As we get into January, we're going to bring on a lot of additional AUM, and so we'll expand some of our depository agreements at that time. And those new depository agreements, they're driven by the rate environment that exists at that time when we bring them on. And so right now we don't have anything to say differently than where we're at today, but we'll give you more clarity on that in the first quarter -- I mean the fourth quarter's earnings call, after we've gone through January and brought on some additional depository agreements.
Mark Marcon - Robert W. Baird: Great. And then, apologize if this has been asked, but in terms of the opportunities for consolidation, can you just talk a little bit about what you're seeing?
Jon Kessler: Yeah. We continue to see opportunities. We have -- we always have I think exploratory talks ongoing with other industry participants. I certainly think JPM's transaction has caused others to kind of take a look at what they have and take a look at where it's likely to go. You know, a challenge in all this is that, notwithstanding the challenges that we believe exist for many of the traditional competitors in our business, primarily banks, it's still a growing business, a rising tide truly does lift all boats. And so in many cases this is a business that, while obviously small, has been one that at least we're seeing a double-digit growth. So it's sometimes not a conversation people are used to having, but when we have -- and we're very confident that, as material opportunities emerge for consolidation, we will be there at the table. As I said before, we'll have the opportunity to review those transactions and in detail and look at all the factors that are involved, and put our best foot forward.
Mark Marcon - Robert W. Baird: Great. Thank you.
Operator: [Operator Instructions] Next we'll move to Greg Peters with Raymond James.
Greg Peters - Raymond James: Good afternoon everyone, and congratulations on the quarter, and happy holidays.
Jon Kessler: Thank you.
Greg Peters - Raymond James: Most of my questions have been asked, but as we're trying to get our hands around your new network partner adds, maybe you could comment just from a competitive standpoint, has there been one channel from a competitive standpoint that's been more challenging to you than another channel? And also maybe, can you talk a little bit about how the interplay has continued with the private health insurance exchange marketplace as well?
Jon Kessler: Sure. Let me try and hit the last question and I'll ask Steve to comment on your first question. So your second question, Greg, was really about the interplay with the private exchanges, and I have seen commentary elsewhere that the large employers and the commercial-sized employers are -- have kind of hit the pause button on the private exchanges. And that's I think consistent with our view of where things stand. Certainly there remains a lot of interest in the private exchange concept, but our view is that what we see with our employer groups is a lot of caution, wait-and-see and so forth, and see how the exchanges work administratively, see how they address adverse selection issues and what-have-you. And so we are not seeing, and I think this is very much consistent with our expectations, we see the development of private exchange like activity as a bit more of a longer-term effort than something that is going to be upon us in the kinds of timeframes that you talk about when you're talking about technology adoption or what-have-you. Your -- so your -- the first of your two questions was really about, maybe from a competitive perspective, how we see the dynamic as different in our employer versus health plan space, and Steve has a great view on this, so.
Stephen Neeleman: Yeah. Thanks, Greg. You know, I think it's been consistent with previous years. You've got the cyclicality of the employer network partners where most large employers, over in the thousands of employees, which is how we classify our employer network partners, are on a cycle and most of them are in January. And so the RPC [ph] starts usually in the first quarter, and we feel like we have a very strong effort to not only reach out to the consulting firms and the large brokers and even some of our health plans that are giving us those leads, and then it kind of goes through the typical sales cycle whereby May, June, July, companies are making decisions and we start implementing in July, August, September. So that's just more of a typical cyclicality. The health plan network partners are more -- they may have some mirror-image views because they're very busy obviously in the fourth quarter too. But some years they're available, some years they're not. They're not making a purchasing decision every single year, a health plan won't. They'll typically be on more of a three-year -- three or four-year cycle. And so I think what we've been able to do though is to tell the story with our existing nearly 60 health plan network partners that we've described in the past, and to now use them as really good reference points. And so -- and a lot of these health plans, as you know, are geographically located, so they're not even competing against each other. And so if we're on the West Coast with a health plan network partner and then we have a prospect out east, they can be really good reference points. And so I guess it's a long way to say that we haven't seen the competitive dynamic change much, but you need to realize that there is a different cyclicality. And then, you know, there's just different metrics. A health plan may have 400,000 or 500,000 members, and that would be kind of the midsize health plan, whereas a 400,000 or a 500,000 employer network partner would be a huge employer. So there's just different ways to grow within those spaces. And we'd love the concept that we have both channels, right? Because we are seeing the cyclicality in one case and then, on the health plan side, that's how we get growth -- talk about a growth even in the third quarter, and that's mostly coming from our health plans that are just bringing us lots of businesses every month.
Greg Peters - Raymond James: Yeah, that's great answers guys. Just as one follow-up, you know, if you think about, you know, again in the aggregate, putting on your forecasting hat, do you see that the employer adoption of high deductible or consumer-driven health plans, is accelerating at this point going into yearend and through -- compared to previous years, going at a steady state, or decelerating in terms of growth rates?
Jon Kessler: You know, at this point of the year -- this is Jon -- it always feels like it's accelerating at this point in the year because, boy, this is the point in the year we really see the results. It's like, you know, it's like asking if it's going to be a good bumper crop [ph] this year on the day we pick it. And on that day, it always feels pretty good.
Greg Peters - Raymond James: Okay.
Jon Kessler: So that's kind of the way it feels. That having been said, I think what is fair with maybe a least a few steps' distance from that to say, is that, one, that the adoption of these products continues and clearly continues -- appears to us to be continuing at at least the comparable pace to where it's been in the last few years. Two, that a driver that is there, that we've talked about before, in addition to the underlying economics and the fact that these products are just effective at helping people save money and keeping health spending costs under control and helping employees put a little more money in their pocket, is the analysis of the excise tax under Healthcare Reform. I think there's less -- perhaps less uncertainty in the past that we're kind of moving forward, and we may lurch to the left, right or sideways, but we're kind of slowly but surely moving forward with implementation of Healthcare Reform. And dates that seemed like they're a long time away, like 1/1/2018, are not so long away.
Stephen Neeleman: Jon, can I just add one point to that? Yeah. I mean, Greg, as we're getting to closer to 1/1/2018 when that Cadillac [ph] or excise tax kicks in, we're now getting to the point where some employers are telling us they've already calculated what their penalty is going to be if they stay the course and don't go to more adoption of account-based plans. I think back when the law was passed, back in 2010, it was so far away they didn't think about it. But now, almost five years into this Healthcare Reform thing, they're getting to the point where their actuaries are actually saying, look, just keep doing what you're doing, this low adoption of account-based plans, and you're going to have to pay a million bucks in 2018, which --
Greg Peters - Raymond James: That's incredible.
Stephen Neeleman: Yeah. Which is kind of -- which is encouraging, but, to Jon's point, we don't know. You know, we don't know how fast they're going to go.
Jon Kessler: I think that at a big picture level, and this is probably relevant for all, as we've described the company and its economic environment, there are a set of tailwinds that drive our business. Those tailwinds are not really changing quarter to quarter, they're sustained. And so I think that's the right way to look at the business.
Greg Peters - Raymond James: Thank you for those answers. One granular question, and I'm going to put my phone on mute and listen to the answer, but can you -- has there been any deviation in the call time this enrollment season so far relative to previous quarters? And again, thank you very much for your answers.
Jon Kessler: The short answer is there hasn't been any material deviation in our call time or service costs or the like that impacts what we do, at least not to my knowledge. Certainly if that's -- if the answer is different, we'll come back and tell you.
Greg Peters - Raymond James: All right. Thank you very much.
Operator: It appears we have no further questions at this time. I'll turn it back to management for any additional or closing remarks.
Jon Kessler: Thanks everybody. Happy holidays. And let me say one more thing a little off-script, which is the HealthEquity asked that I just pend a moment thanking the investment community for the support that we've had this year, certainly as we became public company and began operations as a public company. We feel like we have a lot of new friends who wish us well, and we hope that being involved with this business is equally fulfilling for you as it is for us. So, happy holidays, and getting ready for a big next year. Thank you.
Operator: That does conclude today's conference, ladies and gentlemen. We thank you for your participation. You may now disconnect.